Operator: Good morning, ladies and gentlemen, and welcome to the OTC Markets Group First Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to hand the conference over to your host, Mr. Dan Zinn, General Counsel. Sir, you may begin.
Dan Zinn: Thank you, operator. Good morning. Welcome to the OTC Markets Group first quarter 2020 earnings conference call. Joining me today are Cromwell Coulson, our President and Chief Executive Officer; and Bea Ordonez, our Chief Financial Officer. Today’s call will be accompanied by a slide presentation. Our earnings press release and the presentation are each available on our website. Certain statements during this call and in our presentation may relate to future events or expectations, and as such, may constitute forward-looking statements. Actual results may differ materially from these forward-looking statements.  Information concerning risks and uncertainties that may impact our actual results is contained in the Risk Factors section of our 2019 Annual Report and our quarterly report for the first quarter of 2020, which is also available on our website. For more information, please refer to the Safe Harbor statement on slide three of the earnings presentation. With that, I’d like to turn the call over to Cromwell Coulson.
Cromwell Coulson: Thank you, Dan and good morning, everyone. Thank you joining us today. Wherever you are calling in from, I hope you and your love ones are safe. I want to begin our call by expressing our gratitude to the first responders, the healthcare workers and so many important people who are working today to support us. Those in grocery stores, delivering our packages, collecting our sanitation, helping our neighbors, and each and every person we all rely upon, they have shown up to work demonstrating extraordinary courage and resilience, maintaining essential services for our communities. They are all our heroes. I also want to acknowledge the team here at OTC Markets for rising to the challenge of these unprecedented times and keeping our stock markets open. We are living through a unique period of human history, a 100-year viral storm. While the world is reeling in many ways, we are fortunate that our business continues to operate. We find meaning in the fact that we are able to play a small role in helping the capital markets keep functioning by continuing to serve our subscribers, colleagues and larger community. While we can not predict how long these challenges will last, in times of crisis, the stock market provides liquidity for those who need capital and will be a light to the clouds as we find our course forward. As we noted in our quarterly report, our framework for managing through this challenging environment is grounded in four key principles, supporting our colleagues and prioritizing their safety and wellbeing; continuing to serve our subscribers and our customers; ensuring that we take the measures necessary in the short-term to protect our current operations and safeguard our financial stability, while remaining focused on the critical long-term strategic initiatives that position our business for future growth. I want to note our quarterly report and earnings release present the first quarter results in the context of broader global events, the current economic conditions and this framework as our compass. We will do the same throughout this call and in response to your questions. Our first quarter results were strong, with all three of our business lines delivering revenue growth, which overall drove an 8% increase in topline revenue and an 11% increase in operating income. Bea will cover our financial results in greater detail in a few moments, but I want to take a moment to highlight the performance of our OTC Link business line. OTC Link revenue grew 17% due in large part to the extremely active market environment that we saw towards the end of the first quarter. Patient system, which is an SCI entity, continued to support OTC Link ATS interdealer quotation system, which is an SCI entity, continued to support our broker/dealer subscribers and facilitate their trading needs. While our OTC Link ECN including four separate market wide halts, it took the collective effort of the entire industry to keep stock markets open and meeting investors' liquidity needs. We met this challenge with the majority of our employees working remotely beginning in early March. I want to take a moment in personally thank three team members, Mike Modeski, Bart Krezalek and Steve Hock who continued to come to the office and even slept there some nights. They ensured that we could safely have skill hand in the office to respond immediately to any issue that may arise, as we sheltered the rest of the team.  I would be remiss if I did not also thank the remainder of our spectacular team, in particular those that have spent countless hours monitoring, planning and implementing the technology solutions that allow us to run our markets in times of stress. They tirelessly work to serve our clients and support our entire company, so we could all continue to perform our roles from a remote environment, is a testament to their hard work and the resilient the infrastructure that we have built that we are fully operating today and are able to mark another quarter of 100% uptime of core OTC Link ATS systems during market hours. Our business continuity planning is such that we do not need to have a physical presence in order to operate. Robust BP preparations allowed us to move quickly to protect our people and have most of them work remotely. It will also permit us to be careful and conservative in our approach when we start reopening our offices. Systems reliability remains paramount. And while we focus our attention on ensuring our operational capacity during this time, we have not taken our eye off of the longer term goals. Our management, product design and engineering teams continue to work in initiatives that will improve our technology platform going forward. Our marketing team plays significant focus on growing our digital communication capabilities last year and that has proven vital thus far in 2020. The increased usage of our Virtual Investor Conferences solution during the quarter highlights those capabilities. We are connecting companies to their ambassadors and to each other even when we can't gather in person. Now more than ever, we embrace our strategic vision for the future. It is online data-driven and social. Thus far, our Corporate Services business line has felt the most acute effects of the COVID-19 pandemic, with new sales declining quarter-over-quarter. Specifically the small and venture stage companies on the OTCQB market are among those most at risk of being impacted by the recent deterioration in economic conditions. We are also likely to see a continued decrease in demand for our Corporate Services products as companies focused on preserving their day-to-day operations during the crisis. Against the backdrop of unprecedented market turmoil and an extraordinarily challenging economic environment and in line with similar measures taken by NASDAQ and NYSE, we are providing issuers on our OTCQX and OTCQB marks -- markets with temporary relief from certain of our market standards related to bid price, market capitalization, market value, and public float through June 2020. Similarly, we have followed the SEC’s lead in extending the deadline for certain disclosure filings by up to 45 days. We remain committed to our disclosure based philosophy and data-driven market standards. And we recognize that temporary relief from certain requirements is an appropriate response to the current environment. It should be noted that there are hundreds of NASDAQ and NYSE listed companies that will fall out of compliance with share price or list -- or financial listing standards. We believe that our OTCQB market, which is a disclosure based market, can play an important role in giving public companies a way to continue providing disclosure to investors, as they address their current financial or economic challenges in a cost effective and time efficient manner. Our Market Data Licensing business delivered strong quarter-over-quarter revenue growth from pricing increases in product sales. We also added hot sector data and risk flags to our small cap listed compliance product covering more than 2,300 NASDAQ and NYSE listed securities. We enhance the U.S. bank holding company corporate structured data on our website to provide historical data trends and charting functionality on all call report data points for more than 550 U.S. community banks trading on the OTCQX, OTCQB, and Pink markets. To achieve our mission of creating better informed and more efficient financial markets, we must keep adding useful data streams and driving enhanced market transparency. During the first quarter, we continued to work closely with the SEC on significant regulatory proposals impacting our markets. Most notably, on April 8, we filed our third comment letter on the SEC's proposed amendments to exchange act rule 15c2-11. This rule governs the publication of quotes on our OTC Link ATS interdealer quotation system. The SECs proposal includes a number of positive aspects, such as recognizing our OTCQX, OTCQB and current information disclosure standards and allowing brokers and others to rely on our designations to determine whether companies meet the rules eligibility required requirements. The proposal also includes several debatable elements including its limitations on startups, early stage companies and others that could be unintentional really harmed by shell company definitions. It overly restricts trading transparency and market efficiency for shares of outside investors in companies that cease providing current public information. As a result, the proposal has been met with the different perspectives from individual and institutional ambassadors, broker/dealers, companies, advisors, and other regulators. We have proposed a number of practical solutions that would modernize and the rule in a more effective manner. We appreciate the SEC's willingness to engage with market participants as they consider how to structure a final rule. If adopted as currently proposed, a final rule is luckily to have some positive impact on our ability to develop future revenue streams, but would also introduce complexity and limit the number of securities eligible for quoting on our markets, which is likely to have a negative impact on revenue. We look forward to continuing to work closely with the SEC on this important rulemaking. Finally, I'm pleased to announce that on May 5, our Board of Directors declared a quarterly dividend of $0.15 per share payable in June. This dividend reflects our ongoing commitment to provide superior shareholder returns. Unlike a storm in the ocean, there is no satellite map that will tell us when the squalls will pass, so we must concentrate our efforts on safely failing through whatever trials may appear on the horizon. We are focused on safety of our colleagues. Serving our clients remained operationally and financially strong and prudently navigating these unprecedented times, while position ourselves for growth. I'm confident that we have the crew to do just that. As I turn the call over to Bea, I want to recognize the work that Bea and the finance team, as well as our legal team, has done to publish our quarterly reports on time. It has taken a big effort to stay on schedule. Thank you, Bea and your teams and our legal team. And with that it's all yours Bea.
Bea Ordonez: Thank you, Cromwell and thank you all for joining the call today. I hope that everyone is staying healthy and safe. I want to start by commending the assets that the whole team here at OTC Markets who have pulled together and continue to work every day to support our clients and subscribers through these difficult times. I will now spend a few minutes reviewing our results for the first quarter of 2020. Any reference made to prior period comparative refers to the first quarter of 2019. As part of our review of our financial results, we will endeavor to provide additional information and disclosure related to how the unfolding COVID-19 pandemic has affected our first quarter results and how it could affect our future performance. For the first quarter of 2020, we generated $16.6 million in gross revenues, up 8% with all three of our business lines delivering quarter-over-quarter revenue growth. In the aggregate, the COVID-19 pandemic and the challenging business environment that has resulted from it did not have a material adverse effect on our first quarter revenues, with strong growth in transaction based trading revenues and the impact of price increases and user growth in our Market Data business, offsetting weak growth in our Corporate Services business.  We operate three distinct business lines that generate diversified revenue streams and serve a broad range of market participants and a wide spectrum of U.S. and global issuers. We benefit from a subscription-based revenue model, with approximately 85% of our revenues coming from subscription-based contracts that are recurring in nature. We ended the quarter with a strong balance sheet, $23 million in cash on hand and no debt and are well-positioned to continue to invest in our business and to prudently deploy capital. We've continued to operate our businesses, provide support for our subscribers and customers, and devote resources to enhancing our product suite and to adding subscribers and growing the number of issuers on our markets. We are confident that we are well-positioned to navigate the difficult economic conditions ahead. With that said, it is clear that while considerable uncertainty exists, our operations and financial results in the coming quarters are likely to be impacted by the current macroeconomic environment. Turning now to look in more detail at individual business lines. As we've noted, OTC Link revenues were up 17%. We saw significant volatility in the U.S. equity markets throughout the month of March and this drove a substantial increase in the number of transactions executed on our OTC Link ECN, as well as a marked increase in the number of quotes and trade messages on our OTC Link ATS. To illustrate for the month of March, we executed some 213,000 transactions on our ECN, more than double the number of transactions executed during the month of February. This coupled with the impact of additional subscribers on-boarded over the past several months drove an increase in our ECN revenues for the quarter of 127%. We've continued to see a relatively active market environment during the month of April and in the short-term it is likely that our OTC Link business will benefit from the increased volatility and increased trading volumes we are seeing in global equity markets more generally. However, over the longer term as broker/dealers and others continue to navigate the difficult environment, it is possible that potential subscribers could delay purchasing or implementation decisions. Further, a prolonged downturn in economic activity could depress trading activity and adversity affects our subscriber base and in turn our trading revenues. Revenues from our Market Data Licensing business were up 11%. Effective on January 1, we raised the monthly subscription price for level one and level two professional users of our data. The first such raise since 2014. This coupled with a 3% quarter-over-quarter increase in the number of reported users drove a 14% increase in revenues. We also raised the monthly subscription cost of certain of our broker/dealer enterprise licenses. Again, the first such increase since 2014. This drove a 25% quarter-over-quarter increase in related revenues. Finally, sales of our data file products and sales of and upgrades to premium versions of our compliance offerings, drove a 20% increase in related revenues. As of May 1, 2020, 44 subscribers use our products to streamline and automate their compliance processes, including almost every institution that is active in the OTC space. We have devoted significant resources to growing our subscriber base and believe that we have captured much of that addressable market for our existing suite of products. Further, consolidation among the larger financial firms is likely to continue and could impact the addressable market, both for our compliance products and for our enterprise level Market Data products more generally. With that said, we are devoting internal resources to develop an additional products that better serve the complex compliance needs of participants in the OTC and broader U.S. equity markets.  While revenues from our Market Data business have not thus far been materially impacted by the economic slowdown, it is possible that we could see potential subscribers delaying purchasing decisions, while existing subscribers might look to curtail their spending or cancel services. Revenues from our Corporate Services business were up 2%. Revenues from our OTCQX market were up 6%, inline with a higher number of companies on the market over the course of the quarter. We benefited from a higher starting point with 442 companies on the market on January 1 versus 409 companies at the beginning of 2019. We saw a small decline in our annual renewal rate from 94% for the 2019 annual subscription period to 92% for 2020. Further, we saw a significant slowdown in sales in the current quarter, with nine companies added versus the 30 companies that joined the market during the first quarter of 2019. Thus, at the end of the current quarter, we have 414 companies on the QX market flat versus the prior year quarter-end. On a quarter-over-quarter basis, the ending number of companies on our OTCQB market has contracted by roughly 5%, driving a 4% decline in revenue. In 2019, we raised market standards on our QB market, which has had the effect of reducing the available pool of domestic companies. Further, relative to 2018, we saw a much less active cannabis market in 2019. As a result for the year ended December 31, 2019, we saw roughly 17% decline in sales, driving a contraction in the number of companies on the OTCQB market at the beginning of 2020. In addition, we saw a significant drop in new sales during the first quarter, with 28 companies joining the QB market versus the 68 companies added to the market during the prior year quarter. As Cromwell noted during his remarks, OTCQB companies have likely been amongst those most impacted by the rapid deterioration in macroeconomic conditions that occurred in the first quarter. In respect of both our QX and QB markets, we have seen issuers including global issuers differing buying decisions, while they adjust to the challenges of the current business climate. Our sales efforts have also had to adapt to the challenges of operating in a remote working environment. We remain cognizant of the very difficult business conditions that exist for some of our issuers and are extending relief including where appropriate by extending payment terms, and as Cromwell noted, by providing temporary relief from certain market standards. To the extent with the current economic downturn becomes more severe or is prolonged, we are likely to see a continued dampening of demand for our Corporate Services products. Further, we are likely to see an increase in the number of customers, particularly OTCQB customers who choose not to renew their services at the end of their service term. On the other hand, as noted by Cromwell, a prolonged downturn would over the longer term likely result in an uptick in companies delisting from national exchanges and could expand the pool of qualified companies for our market. Turning now to expenses. On a quarter-over-quarter basis, operating expenses increased by 4%. The primary driver was a 7% increase in our compensation costs, reflecting increased headcount, the impact of annual salary raises, as well as increases in share-based compensation expense and in the cost of providing healthcare coverage for our employees. This together with less significant increases in our other areas was partially offset by a decline in our occupancy cost, A result of one-time cost incurred in the prior year quarter. With revenues growing at 8% and expense gross contained at 4%, we delivered 11% quarter-over-quarter growth in income from operations, while net income for the quarter increased by 9%. The company's effective tax rate increased from 13% to 14% largely as a result of quarter-over-quarter declines in excess tax benefits recognized in respect of stock-based compensation. Cash flows from operating activities for the first quarter amounted to $200,000, a small decrease versus the prior year period with increases in net income and in the amount of non-cash items offset by changes in our assets and liabilities. During the first quarter we used operating cash flows generated as well as cash on hand to fund technology infrastructure investments and to return cash to investors in the form of dividends and through our stock buyback program. We returned a total of $5.3 million in the current quarter up versus the $3.1 million returned in the prior year period, a result of the increase in the number of shares we purchased. In closing, during the first quarter like so many businesses here in the U.S. and globally, we worked diligently to adapt to our new working environment and to continue to support our colleagues and the thousands of subscribers and issuers we serve. We've delivered strong earnings growth, while remaining focused on the critical long-term initiatives that position our business for future growth. While we continue to evaluate the evolving challenges of the current environment, we remain focused on delivering for all of our stakeholders, and on continue to grow to support the needs of our diverse community of clients. With that, I would like to thank everyone for their time, and pass it back to the operator to open up the line for questions.
Operator: [Operator Instructions] I am showing there are no questions at this time.
Cromwell Coulson: Okay. Thank you, operator.
Operator: Ladies and gentlemen …
Cromwell Coulson: I want to thank you all for joining us today and encourage you to read our quarterly report for additional perspective. As always, we remain committed to supporting our colleagues, our clients and our company in these challenging times. On behalf of the entire team, I would like to wish you and your family's continued health and safety. We look forward to connecting with you next quarter. Thank you. Wait. Operator, there are questions now.
Operator: Yes. I see. Your first question comes from Chris McGinnis from Sidoti & Company. 
Chris McGinnis: Good morning. Thanks for taking my questions. Nice quarter and hope you're all healthy and safe. Can you just maybe talk a little bit about trends maybe in April and maybe how the state started to open up and maybe economy starts to unfreeze here. If that's had any changes with the business and -- just how maybe trends are tracking in April and early May. Thanks.
Bea Ordonez: Thank you, Chris. And thanks for your question. I hope you're staying well. Yes, definitely, we post out April now obviously. I noted I think during the remarks we noted in our quarterly, we continued to see a fairly active environment during the month of May to give some context from our OTC Link ECN for May we average about 8,000 transactions today. So down [technical difficulty] average of 10,000, but down a little bit, but still up considerably from our average in January and February and on a period-over-period basis also up considerably. And again, as I noted, that's in part obviously, the -- a factor of the very active market environment, but also of the significant success we've had in on-boarding subscribers over the last several months. If you look at May 1, 2020 versus May 1 last year, we have 61 subscribers connected versus 43 last year. So yes, as I noted, I think in the short-term our OTC Link business have some transactional exposure through the ECN business primarily. And we'll likely to see a little bit of an uptick there and some tailwinds from the active environment. In our Market Data business, again, active environments, and more eyeballs on data and so on. We're likely to continue to sort of stay steady state at least for a little bit, but again, as conditions prolonged over a longer period of time, if indeed they do, that's where we might expect to see headwinds sort of through the end of that cycle. Corporate Services, again, as we noted through our remarks, is really the area where we saw the fastest impact and where we might see a more prolonged impact. Again, there's significant uncertainty here, but it all sort of depends on the length and severity of any downturn. But in terms of April, what we saw in the first quarter, as I noted, was certainly a decline in sales for a whole bunch of reasons. But by the middle of the first quarter, we had limited business travel. We had canceled in-person events at our offices, both of those represent a significant form of outreach for us. By early May, we had transitioned everybody, including our sales team to a fully remote working environment, and without a doubt that had an impact on sales processes and on-boarding.  And in addition, obviously, the market decline, the steep decline in stock prices that we saw in March had an outsize impact on small cap companies. And so, we saw some -- not insignificant number of companies in our pipeline fall out of compliance with market standards who would otherwise have qualified. So, all of that had a drag on sales in the first quarter, which you see in the numbers. In April, we see a little bit of an uptick in QB sales, which is nice. We added 13 companies to the market in April, which is just a shade down from the 16 that we added for April of last year. We added three companies to our QX market, again down from the eight we added last year. But signs of life, we have a strong pipeline. And as we see -- again, we noted during our remarks that exchanges are also extending temporary release around certain market standards. As we sort of work our way through that cycle and potentially see more idealists, we could see sort of more signs of life in that pipeline as well. So, really in terms of longer term in our Corporate Services, again, a prolonged downturn could dampen demand for our products. But at the same time, companies will need to access the benefits of being a public market. And if the current climate does become somewhat of a new normal for at least some period of time, companies who have perhaps deferred some of their decisions, may start to operate more normally within what is the new framework. So, we remained pretty bullish around that and are going to continue to do what we've done throughout the quarter, which is to devote resources to outbound sales efforts, to move as much communication online and leverage products like our Virtual Investor Conferences business and to continue to support our issuers with relief where appropriate, and just with the support we've always provided them. I hope that answers your question. 
Operator: [Operator Instructions] Your next question comes from Andrew Mitchell from Edison. 
Andrew Mitchell: Yes. Good morning. Thank you very much. I was wondering if you could comment on the number of participants in ATS and OTC Link ATS has shown a further decline in the quarterly reporting on. I was wondering if there's any sort of specific background to that of any of them seem not to have any of them since you transferred to using the ECN and not to the ATS. Can you sort of shed some more light on that?
Cromwell Coulson: Sure. Andrew, thanks for the question and hope that you are well. So, it's the continuation of a trend that we've seen for quite some time where there's just increased consolidation in the space. I think the numbers there out that we've seen an increase in usage of the ECN and so some of that is crossover. It's firms using both services since they provide a different experience from a trading perspective. So, it's not so much that firms are leaving one to join the other. I think, the expansion that you see is due to firms taking advantage of both types of services. And then the general trend in terms of the number of broker/dealer subscribers is really just in keeping with what we've seen over time. So, outside of a few that I think have moved from OTC Link ATS to OTC Link ECN. The general trend is just the overall long-term. 
Andrew Mitchell: And on the ECN, obviously, I assume the main driver -- I think you say in the statement, all of the increase in transaction based expenses is obviously the increase in volume. But have there been any significant changes in the terms for participants, the make or take fee [ph]. 
Cromwell Coulson: No. And Bea can address this as well from the -- just the pure results perspective. But you're right. The increase that you see is, is really based on the increased volume in the market. So that impacts quote and message activity on OTC Link ATS as well as -- as obviously executions and transactions on OTC Link ECN. So, it's not a change in pricing or in the model. It really is all flowing from that impact of increased activity.
Andrew Mitchell: Okay. And thank you very much. And then I think final one, was on the -- you flagged up that -- clearly, if things attracted in terms of the macro effect, a key risk is to the Corporate Business line. And I was wondering, the OTCQX I think is a calendar year -- primarily a calendar year renewal cycle. I was just wondering if in OTCQB is there's any lumpiness in terms of when contracts renewals come up that may affect when -- if there is this sort of adverse development, when we might expect to see that more of -- becoming more evident. 
Bea Ordonez: Right. Sure. No. As you know, QX customers renew annually based on a calendar year subscription period. And as we noted in our remarks for 2020, we achieved a 92% renewal rate, which again, we're very pleased with, a shade down from 94% last year. But we've stayed historically right in that band of 92%, 93%, 94% and so on. QB customers as you noted that they renew annually or semi-annually on a rolling renewal calendar based on the anniversary when they joined. We will see a little bit of lumpiness that we did in the earlier years, based on how we rolled out that market and on-boarded customers. But in a typical month now, we might see somewhere between 75 to a 100 QB customers up for renewal in any given monthly period. And to provide a little bit of context in 2019, our average renewal rate across every renewal cycle that hit through that year was about 93%, up a bit -- down a bit in given month. But again, a fairly sticky product with a low rate of voluntary churn off of it. It's early as we've noted, look at, but the real effects kicked in, in March in terms of some of the governmental measures that locked down the economy. So, we're going to have to see how this plays out and continue to evaluate it. And looking at April as an example, April renewal date and our firms require payments 30 days prior to the beginning of the next service date, we would ordinarily have closed out that period. We've so far had a renewal rate of 84% for April. And we've extended payment release to 14% within that pool of companies. So, we're certainly lagging where we would expect to be in renewal, but not markedly so, and we sort of feel like we can navigate through this. To give it a little more context in terms of May, we've seen 70% of companies renew. So, again, we're certainly lagging where we were in 2019, but it's early days. We've extended payment relief, which we think is appropriate, obviously, given the unprecedented economic conditions. And we'll just continue to evaluate that and do what we think best serves the interests of obviously the company and our market standards and so on, but also of our issuers and supporting them through these times. So, I think it's somewhat hard. Obviously, there's the significant uncertainty for everybody to really model out what the likely impact is going to be. We're beginning to see some trends, but a lot can change in the next three months just as a lot changed in the three months leading up to this point.
Andrew Mitchell: Thank you very much.
Cromwell Coulson: Andrew, this is Cromwell. As I said, we don't have a radar map that's going to tell us when the storm is over. And I do believe in these times, managing quarter-to-quarter is just completely foolish, is because we know there's the current -- we know there's the current situation, we’re staying financially strong, serving our clients, protecting our people and preserving our financial strength. But we also know eventually you sail through these things. And nobody can tell you whether there's going to be you or we when it comes out. But it will. And whether it is six months or two years or three years, it's -- our goal is to make it through. Now where I'd say, there's a challenge now because business all focused on hanging on and dealing with immediate needs across -- and everyone was on a -- in a different situation in our corporate client world, while traders were -- it was going full speed. But as we -- as we look at going forward, one of the unique thing about venture markets is people think about them as just for new companies coming on. But venture markets, because they are very light on the financial standards, they're disclosure driven. They also give a place for companies to hang on and keep providing information to investors. And we've seen that in having Fannie Mae and Freddie Mac our QB companies. We see that in other companies. And in some ways moving to a market through its disclosure based while a management team is addressing their challenges, is much more efficient for them. Instead of we see companies on NASDAQ focusing on doing reverse splits to try and keep their stock price up permanently rather than putting the management time to addressing the challenges and building a sustainable business. And so, we -- in our cycle, QB was a much younger experience in the 2008 crisis. But as we look to Canada, we see often that there's a lot of companies that try to -- that want to hold on to stay on a venture market, even when things are not doing well. And that for us is helping people understand why it's useful and why it maybe a better place than being on a national exchange when -- where the financial standards -- you're focusing on short-term financial standards versus long-term sustainability. 
Cromwell Coulson: Thank you.
Operator: Your next question comes from Dave Elias from Elias Asset Management.
Dave Elias: Thank you everybody. Thank you, especially for everybody at the company for hosting the conference call, and congratulations on a very good quarter. I can't even imagine the backend work that goes on back there just to support your work. I have three questions. Before a question, I want to preface something. The business part, I don't question. You have a strong balance sheet, you have a strong -- your revenues are very good. My question is, what if any initiatives or have you done or plan on going to increase the liquidity in your stock? I asked this because in your opening statement you commented on liquidity being a central facet of the stock market, especially during these difficult times. However, your stock has minimal to no liquidity. So that was the first out of three questions.
Cromwell Coulson: Sorry, just taking myself off mute.
Dave Elias: That’s, okay. 
Cromwell Coulson: So, for -- I think every stock would like to have more liquidity. And for us is, is there enough liquidity for existing shareholders as they roll through, as they go along. And we have -- one of the parts I always found interesting was when we are private company, our conversations with our outside investors were when are you selling the company? And -- in our annual meetings with them. And when are you selling? And I expected we'd have more investors who wanted to sell. And we don't have a ton of investors who want to sell is -- and that's a good thing from a -- because I look at liquidity as a turnover. It would be really -- there's liquidity is, is that if you have a ton of liquidity just for liquidity sake, what you're doing is you're shorting your -- is you're shortening your shareholder duration. So, we talked to community banks, which often look a lot like our type of shareholder base, where only 5% of their shares turnover in a year. And for the community bank say like, I'd like to have five times liquidity, but then they would have -- they would be shortening their investor duration. And so, yes. Would we like to think about other ways to increase liquidity as areas go forward? The second part is I think most -- we see blocks appear in the market and they trade. And there's this idea that makes people happy that I should be able to show up in a smaller company stock, whether they're exchange listed or OTC and be able to sell large block really quickly. And it's a bug in markets that there's not liquidity for size in stocks. And what we see is, it's actually a feature because smaller companies have information asymmetries. If someone shows up wanting immediate liquidity for a large amount of stock, in small companies, you're either going to get speed or price, you don't get buck. And what we've seen is when blocks have come along they've either had to sell over time into the market or a block shows up and it hangs out there for two weeks, a month at the market. And the market realizes the seller isn't discounting their shares, doesn't have an informational asymmetry, and often it trades around the market level. So that -- that's our part is. There's a lot of people outside the industry who will loudly say that we can make this market structure change. Now we -- and it's one of the reasons why we've been also not as a traditional value investor buying back as aggressively stock in the public market, because that creates a liquidity trap. We've preferred dividends in general, but -- and we've done for -- because employees have smaller windows, but that's our -- that -- that's our general philosophy. We would love more liquidity, but we think, we have inappropriate amount of liquidity. And if someone wants to be able to buy a stock that they can buy a huge amount in trade out of in the next 30 seconds, they should concentrate on trading much bigger companies.
Dave Elias: Okay. Thank you. My second question is -- my second of three questions. Well, while I do see an appreciated dividend, and I do believe a dividend is better than a stock buyback. But that's an opinion, it's not a fact. I would like to see -- I'm trying to calculate my upside as an investor in a company that has a $325 billion market cap concerning that significant revenue global. And I say significant, I want to be fair because that's a subjective term or it's an opinion. Significant revenue growth being, let's say, year-over-year, double-digits 20%. How this company is going to grow 20%-plus per year, unless you make an acquisition. So my concern is, there's only so much upside in a $325 million market cap company unless a major event occurs. I'm trying to look at it from my perspective and I'm having difficulty finding it, because like I said, I believe what you do is great. I believe the service and everything you do is that provide to small caps is wonderful. I believe your business is good. I believe that your business is not going to go away. And it's probably going to grow. And if I had to make a -- an internal guess and I understand you don't give guidance or pro forma nor should you, but I don't see the significant growth. And as an investor -- in the $325 million market cap, I'm having trouble with that. Can you help me better understand that, or how I could look at it and then I have one very quick question after this.
Bea Ordonez: Sure. Let me try and answer that. Look, it's difficult as I sit here for me to answer how you should view this as an investor given your particular requirements and your particular characteristics as an investor and what your risk adjusted return might be on this kind of stock and so on and so forth. I think to your point in the question, we have delivered gross over the long-term for a very long time. We have a long operating history of delivering earnings growth and raising the dividends that we pay and the amount of cash we return to investors over the long-term, while also delivering stock value appreciation. So, you look at -- as every caveat will tell you, past performance doesn't guarantee future performance. But we have continued even over the last several years to expand within our sector of the equities markets to put out more products, to find more niches, to serve more clients and subscribers that to really look at the global opportunity. We have proven over the last several years that, that we can and will do that to deliver lasting gross and value over the longer term. And in terms of our capital allocation policies as you know, we have paid consistent quarterly dividends. I think, it's now our 45th or 46th consistent dividend, and we have always raised it or we have raised it or look to raise it in line with that earnings growth. And again, we will prudently evaluate the current condition, but our long-term goal is to continue to raise the amount of cash we return to investors through dividends and through other programs in line with that earnings growth. But look, we remain confident that we can deliver over the longer term. In terms of your no on acquisitions, yes. Look at, we've noted through a couple of earnings calls that we view that as an avenue to really drive more incremental growth through the business. We've certainly been looking at it with some limited success to date, and given the current economic climate look at difficult times certainly, but they can create opportunities for us and for others. We've certainly seen and are likely to continue to see valuation multiples contract when you compare it to the meteoric highs that we've seen over the past several years. So, we may see an opportunity as a result, and we remain willing and able now or in the future to deploy capital if we come across the right opportunity.
Dave Elias: Thank you. My last question.
Bea Ordonez: I hope that -- go ahead. Go ahead.
Dave Elias: Thank you. My last question -- and thank you again. This is my last question. So, sorry for taking so much time. My philosophy -- and again, it's more of an opinion as compared to a fact. But my philosophy has pretty much been proven for any public company to see stock appreciation, they require institutional investors coming in. And so, what are you doing to bring in institutions since you don't have any? And secondly, again, this becomes a little bit of a quandary and I don't want to beat the dead horse with the stick. But the liquidity issue, the liquidity issue, institutional investors. We -- our firm, for example, we wouldn't take a position in a company unless we could buy at least $250,000 worth of a stock. So, with that being said, I can't -- right now, I'm having difficulty getting into the stock to get the $250,000. But you don't have institution. So, forgetting my fear and my front, but without institutional investors, there's only so much a stock will go up. So, with that being said, I don't want to talk about the liquidity as much, but I do want to talk about what if anything are you doing or can you do -- what do you intend to do to bring in institutional? Because with retail investors only there's -- that creates almost like a ceiling to what the company stock and bill? Thank you. Thank you, again, for the call and congratulations on a great quarter.
Cromwell Coulson: So, this is Cromwell. We do have institutions, they're quieter institutions. A lot of the institutions we see come in, are either value or growth with value and small companies, specialists. A lot of those ones are very happy buying over the long-term. They don't want to pay the liquidity premium. They hang around on the bed, they learn these questions, they come visit us for years. So -- but it is -- we are a company with a lot of shareholders who have done well over time. And they don't want us trying to bang homeruns and they don't want us of -- what they want us to do is consistently building out our platform to serve our clients in a sustainable manner. And that is -- and I would say one of the big lies about liquidity in small companies is driven by pipes players. And it's the intermediaries. They come in and tell small companies, I want to invest in your company. I'm a long-term investor, I'm an institution. And then they go and -- but you need more liquidity. So, you need to put out aggressive press releases. You need to do things that are on the edge. And then those firms just buy shares at a discount and are selling them into the market, because they're talking about liquidity, is really about how big a door can I arbitrage. Other longer term investors, if we're doing a capital raise, there'd be a group of institutions that we could go to and we could expand and we look at that as a of align it. But aligning a public company to be long-term is -- if you want to be super aggressive short-term shoot them up guys, there's other markets for that.  We want to provide a sustainable market for public companies where management can focus on long-term and giving their investors the information, the transparency and the tradability, but without all the burdensomeness. And that's -- so we eat our own cooking is -- and I don't think every company needs to be able to trade a million shares a day to be a public company. And that's the problem we're solving in the U.S. So, if you want us to be something differently, we're probably the wrong stock for you. So, we've got questions from one more person.
Operator: We have a follow-up first question from Chris McGinnis from Sidoti & Company.
Chris McGinnis: Thanks. Just a quick question. I appreciate taking the time again. Bea, just on the cost structure kind of from Q1 kind of going forward for the rest of the year, any changes that you might want to mention, or you think it'll probably stay at the same levels on the operating side? Thanks.
Bea Ordonez: Thank you, Chris for your question. Yeah, look at, as I noted through the remarks there is not big movements in our cost structure quarter-over-quarter. I think we did a good job in containing expense growth and that was our plan for 2020. We saw a lot of investment. You tuned into many calls now, but 2019 was really marked by investment in a bunch of areas. We added headcount. We added infrastructure capabilities and those capabilities have served us very well. Now, as we noted during our remarks -- but that was really an investment year and we saw the impact to our expense base accordingly. For 2020, we had flagged this last year. We largely wanted to contain that expense growth and see some leverage and see some margin expansion. We saw that in Q1. Obviously, as we look forward, life is not quite what we expected it to be, but I don't expect significant changes to our operating expenses over rest of the year. A large percentage of our expense basis is fixed in nature. Roughly 80% is compensation and IT expenses, so we don't plan on adding headcount in the short-term. All things being equal, we'll continue to invest prudently in infrastructure initiatives, as we need to and as planned, but we don't plan on significantly up in those costs either. We're a relatively small company and we run pretty lean. So, long way of saying we don't expect significant movement there. We're focused on not only weathering the storm, but obviously positioning ourselves for the longer term and being able to emerge from this stronger and able to drive future growth. So, certainly at this point -- and I know other companies have said similar things, we don't plan on reducing headcount in any way, or anything like that. In the short-term, we'll continue to evaluate market condition, and emerge stronger on the other side. That is the plan.
Operator: There are no further questions in queue.
Cromwell Coulson: Okay. Thank you, operator. And since I've given -- since I'm already read my closing remarks, I'd just like to repeat on behalf of the entire team at OTC Markets, we would like to wish you and your family's continued health and safety. We look forward to connecting with you again. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation and have a wonderful day. You may all disconnect.